: June 17, 2008 11:00 am ET
Operator: Good morning, my name is Gerald and I will be your conference facilitator today. I would like to welcome everyone to the Goldman Sachs’ second quarter 2008 earnings conference call. (Operator Instructions) Thank you, Mr. Holmes you may begin your conference.
Dane Holmes: Hello, this is Dane Holmes, Head of Investor Relations at Goldman Sachs, good morning and welcome to our second quarter earnings conference call. Today’s call may include forward-looking statements. These statements represent the firm’s belief regarding future events that by their nature are uncertain and outside of the firm’s control. The firm’s actual results and financial condition may differ, possibly materially, from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that would affect the firm’s future results, please see the description of risk factors in our current annual report on form 10-K for the fiscal year ended November 2007. I would also direct you to read the forward-looking disclaimers in our quarterly earnings release, particularly as it relates to our investment banking transaction backlog and you should also read the information on the calculation of non-GAAP financial measures that is posted on the investor relations portion of our website at www.GS.com. This audiocast is copyrighted material of the Goldman Sachs Group, Inc. and may not be duplicated, reproduced, or rebroadcast without our consent. Let me now ask David Viniar, our Chief Financial Officer to review the firm’s second quarter results. David.
David Viniar: Thanks Dane. Good morning and I would like to thank all of you for listening. I’ll give a brief review of our results and then I’ll be happy to take your questions. I’m pleased to report strong results for Goldman Sachs, particularly in light of the challenging operating environment. Second quarter net revenues were $9.4 billion. Net earnings were $2.1 billion and earnings per diluted share were $4.58. Annualized return on common equity was 20.4%. Let me now review each of our major businesses. Investment banking produced net revenues of $1.7 billion in the quarter, up 44% from the first quarter. These strong results continue to demonstrate the breadth and depth of our client franchise. Second quarter advisory revenues were $800 million, up 21% sequentially as the pace of our completed M&A transactions accelerated during the quarter. Industry wide announced M&A also improved during the quarter. We once again ranked first in announced global M&A for the calendar year to date. In an increasingly global marketplace, we’re particularly pleased that we’ve advised on three of the top five cross-border transactions this year. Our year to date performance also demonstrates the flexibility of our franchise from a sector perspective as we’ve been well positioned to serve our clients across various industries around the globe. We advised on a number of important transactions that closed during the quarter, including Millennium Pharmaceuticals’ $8.8 billion sale to Takeda Pharmaceutical, Commerce Bancorp’s $8.6 billion sale to Toronto Dominion Bank and BEA Systems’ $8.5 billion sale to Oracle Corporation. We’re also an advisor on a number of significant announced transactions, including Novartis’ purchase of $38.2 billion stake in Alcon from Nestle, Wrigley’s $23.2 billion sale to Mars and Endesa Italia’s 9.1 billion Euro sale of a majority stake to E.ON. Underwriting revenues were $885 million, up 74% from the first quarter. Equity underwriting revenues were $616 million, our second best quarterly performance and the highest in eight years. Debt underwriting revenues were down 20% from the first quarter to $269 million. Our equity financing business was particularly robust in the financial institutions industry where we underwrote a number of transactions during the quarter. Debt underwriting activity declined as the broader credit market disruption continued to weigh on the origination market. During the quarter we participated in a number of significant underwriting transactions, including the $19.7 billion IPO by VISA, the $7 billion private placement of convertible preferred and common stock by National City and the 1.3 billion Sterling IPO of New World Resources. Our investment banking backlog declined during the quarter. While it’s very difficult to predict the broader near term environment for this business, the longer term outlook will continue to be driven by global economic growth trends, equity market stability and CEO confidence. Let me turn to trading and principal investments which includes FICC, equities and principal investments. Net revenues in this segment were $5.6 billion in the second quarter, up 9% from the first quarter. FICC net revenues were $2.4 billion, down 24% from the first quarter. Rates, currencies and commodities all produced strong revenues that were down from our record or near record results in the first quarter. These macro businesses were impacted by shifting price trends and customer activity levels that were solid but lower than during the first quarter. Mortgage revenues increased from significantly depressed levels in the first quarter as trading activity in more liquid products improved. Credit revenues were weak as robust client activity was largely offset by approximately $775 million of losses associated with our leveraged lending business, including $500 million on our hedges. Turning now to equities, net revenues for the second quarter were $2.5 billion, down slightly on a sequential basis. Equities trading net revenues were $1.3 billion, down 2% from the first quarter. Our cash equities business produced strong results that were up sequentially on robust customer activity levels. Derivatives revenues were solid, although down from the first quarter due to lower volatility in certain products. Principal strategies results remained weak. Equities commissions of $1.2 billion in the quarter were strong, but relatively flat on a sequential basis. Turning to risk, average daily value at risk in the second quarter was $184 million compared to $157 million for the first quarter. Interest rate VAR increased due to wider spreads and higher volatility in certain products, partially offset by a reduction in positions. Our commodity VAR increased due to higher volatility in prices during the quarter. VAR in our equity category declined as we reduced average position sizes during the quarter. Let me now review principal investments, where we recorded net revenues of $725 million for the second quarter. This includes a $214 million gain on our ICBC investment as well as gains primarily from other corporate principal investments. We produced very strong results in asset management and security services, with record net revenues of $2.1 billion, up 5% from the first quarter. Asset management produced net revenues of $1.2 billion, consisting mostly of record management and other fees which were up 3% sequentially. Assets under management increased to a record $895 billion at the end of the second quarter. During the quarter, assets under management increased $22 billion, reflecting $6 billion of inflows and $16 billion of market appreciation. Net inflows primarily reflected inflows in money market and fixed income assets, partially offset by outflows, largely in equity assets. Securities services produced record net revenues of $985 million, up 36% from the first quarter. These results reflected the seasonally stronger second quarter and continued growth in customer balances. Now let me turn to expenses. Compensation and benefits expense in the second quarter was $4.5 billion, accrued at 48% of net revenues. Second quarter non-compensation expenses were $2.1 billion, a 6% decrease from the first quarter. The largest driver was lower brokerage, clearing, exchange and distribution fees. Headcount at the end of the second quarter was approximately 31,500, down 1% from the first quarter. Our effective tax rate was 26.3% for the second quarter. The decrease in the effective tax rate was largely due to the geographic mix of earnings. During the quarter, the firm repurchased 1.2 million shares for approximately $200 million. We currently have approximately 62 million shares remaining under the firm’s existing stock repurchase authorization. For the first time this quarter, we’re disclosing our risk based capital ratio under the consolidated supervised entity or CSE framework. We’ve been regulated as a CSE by the SEC since 2005, which has included a requirement to maintain capital consistent with the rules of the Basel Committee on Banking Supervision, in our case the so called Basel II framework. We believe the CSE implementation of Basel II provides an important metric to assess the risk based capital adequacy of a financial institution such as Goldman Sachs. It’s much more meaningful than leverage or adjusted leverage ratios which do not reflect the risk of individual assets or off balance sheet risk. As of the end of the quarter, our tier 1 ratio was approximately 10.8%. This level is somewhat higher than that which we typically maintain given the current challenging operating environment. We’ll have further disclosure regarding our CSE ratios as well as a detail of component parts in our second quarter 10-Q. We continue to operate in volatile and uncertain times. As I’ve said many times over the past year, Lloyd, Jon, Gary and I are of two minds in this environment. First, we are defensive risk managers, working to ensure that our franchise and reputation are protected. At the same time, we are externally focused and opportunistic. As risk managers, we’ve been focused on strengthening our capital liquidity levels, while simultaneously right sizing troubled asset classes such as leveraged loans. Our performance through the last several quarters leaves us well positioned to take advantage of market opportunities as they arise. We continue to execute on our fundamental strategy of serving our clients and expanding our footprint in higher growth and more profitable markets around the world. In the current challenging environment, we’ve seen the increasing value of our diversified global and client focused business model. While I cannot predict the near term earnings environment for our business, we remain committed to long term value creation for our shareholders. With that, I’d like to thank you again for listening today and I’m now happy to take your questions.
Operator: (Operator instructions) Your first question comes from Guy Moszkowski - Merrill Lynch.
Guy Moszkowski - Merrill Lynch: If you could give us a little bit more color on the decline in backlog, maybe you could give us a sense for what product and some quantification if possible.
David Viniar: Well you know we don’t quantify it but as far as products, what we actually saw was a decline in the M&A backlog and it was somewhat offset by an increase in the equity backlog. And debt was kind of flattish.
Guy Moszkowski - Merrill Lynch: You mentioned I think in your press interview that you had been buying some NPLs and I was wondering if you could give us a sense for where geographically and what kind?
David Viniar: I don’t want to overstate it because it’s not like we saw tremendous opportunities to buy. But we saw no specific geographic area was dominant and where we saw, we saw a few portfolios in different places, so really nothing that was that dramatic.
Guy Moszkowski - Merrill Lynch: You mentioned that rate risk was up in your VAR and of course we can see that in what you’ve published, you did mention that it wasn’t because balances were up but because of greater risk. And obviously rates have been a pretty treacherous area of late, can you comment on conditions since the quarter ended and whether you’re able to exploit the greater volatility profitably or should we expect to see you actually trying to pull exposures down there?
David Viniar: Well, it’s only been two weeks since the quarter ended. So I wouldn’t read anything into anything that happened in the first two weeks of a quarter. But what we will do with our exposures and our risk will really depend on the opportunities we see in the market. And remember, within the rates category includes things like mortgages. So there’s a lot of things within the rates category. But if we see opportunities we will take advantage of it and increase risk and if we think the opportunities are not as good, we’ll decrease risk. We’re very fluid with that as you know.
Guy Moszkowski - Merrill Lynch: If you could, because I saw that you were commenting on some of these numbers also during your press interview, can you give us some kind of a roll forward walkthrough on positions in resi and commercial mortgages and leveraged finance versus last quarter?
David Viniar: Sure, let me do all of it so we can get it all on the table. I’ll do it in the order you asked about it. Residential loans first of all ended the first quarter, we had about $19 billion. And the breakdown and these are all rough round numbers, was $12.2 in prime, $5 billion in alt-A and $1.8 billion in subprime. At the end of the second quarter that’s $8.5 billion, $8.5 in prime, $4.7 in alt-A, $1.8 in subprime, so $15 billion. In the resi market, particularly, we make active markets, so while there was a net reduction of about $4 billion, multiples of that were bought and sold during the quarter. Commercial loans, about $19.4 billion at the end of the first quarter, $17 billion at the end of the second, so about $2.5 billion sold. And leverage loans, let’s first focus on what I would call the legacy loans guys, those are the ones that we had at the end of the third quarter of last year, so it would have the terms and conditions that were in existence through the height of the market. We had about $52 billion total between funded and unfunded at the end of the third quarter of 07. At the end of the second quarter of 08, of those $52, we had about $14 billion left, $22 total left, so $8 billion that were put on since the end of the third quarter at various times. And again, there were lots of other loans that we actually put on and fully distributed over the course of the first and second quarter as the terms got a lot better. So $14 out of the $52 legacy and since the end of the quarter, one in particular, I mean you saw the Alltel deal announced which allowed us to sell out of a lot of that position and that was about $3 billion, so we’re really down to about $11 now.
Operator: Your next question comes from Glen Schorr – UBS.
Glen Schorr – UBS: On the buying of distressed assets, I actually thought, who knows, there was the chance that some of these balances, especially on the commercial side might actually go up as there’s distressed sellers out there. Is it the capital raises and too wide a bid ask that’s keeping that from happening right now?
David Viniar: There have been some sellers but not a lot. And so we’ve seen more lately but still not a lot of what we would consider big portfolios of distressed assets being for sale at prices we would think are reasonable.
Glen Schorr – UBS: Guess you’ve got to stop doing all that equity underwriting. And then on the corporate and real estate gains, other than ICBC, were there actually sales and gains or are these marks to market or model, is it private versus public?
David Viniar: It was largely marks, not many sales and on the corporate side, more than half of the marks were public securities.
Glen Schorr – UBS: On the commercial side, we pick apart at other companies so it’s only fair to give you a little bit, can you help us with a little bit more of composition. I think it’s mostly whole loans with you guys, but a little bit of a composition in how you mark the positions. We don’t seem to have seen any gross marks in the last couple of quarters. So how do you think about the commercial book in general?
David Viniar: So it is mostly loans. There are some securities, some CMBS trading in there, but it’s mostly loans. We mark as you know, we spend a tremendous amount of time looking at the marks on our loans. We mark things basically to the market price where they could be sold, not where they could all be sold tomorrow, but where they could be sold over a reasonable period of time. Again, to put it in context, of what we sold during the quarter, virtually all, not 100%, but virtually all were sold above the marks. So it kind of validates what our marking process was. We have some of the retained $17 billion that were marked down over the course of the quarter because markets deteriorated, we got bids in on other assets which informed us that we couldn’t sell the loans we held at those prices and so we then marked them down. So it was a combination of sales and markups or mark downs. But what we have seen and this is, I can go through as much as you want in how we mark things, but we spend a lot of time on it, but one of the most important things we do when things don’t have very active trading markets is we look back at where we sold things versus where they were marked. And across this quarter virtually everything that we sold was sold slightly above the marks.
Glen Schorr – UBS: And because mostly loans, I’m assuming there’s not much if any in equity and maybe if you could just give one last comment on senior versus any mezz or B notes.
David Viniar: It’s really, within those commercial mortgages, we have every tranche there is. And so we have, if you look at some of the big loans and you could pick them out, Hilton, one that’s known to everybody, I think there are nine tranches, from the most senior to the most junior. So even the mezz has three tranches of mezz and then there’s A loans and B loans and C loans. So we have every tranche. Every tranche is marked differently. And the sale, someone asked me this question before, the sales that we made were really across different tranches because we find some examples where buyers really want the lower tranche because they like yield and some where they want the higher tranches because they like the safety. And we have all different types so we sell depending on where the market is.
Glen Schorr – UBS: On tax rate, do we go float back to best guess of where you’ve been hanging out in the 31-32% range?
David Viniar: Well where we are, the 27.7% year to date is our best estimate of what it will be for the year. I’m not going to tell you that’s where it’s always going to be, but that’s how the tax rate is calculated based on as best we can do, a roll forward for the year which of course can change. And so that’s our best estimate for the year.
Operator: Your next question comes from Roger Freeman – Lehman Brothers.
Roger Freeman - Lehman Brothers: Can you talk to the total amount of delivering of balance sheet shrinkage during the quarter? It looks like some of the leverage ratios that came out on there on your call earlier that you maybe sold $100 billion or so down. And you’ve talked to some of the components here within resi, commercial in loans. Where was most of the balance? Any buckets you can give us around that?
David Viniar: First, I will start with my disclaimer which I have to do and you’ve heard this before. We don’t think leverage ratios are a particularly good measure of risk, you know that. You know I can give the example I give frequently like in many others, we could sell $100 billion of treasuries and buy $10 billion of subprime. We could de-lever, have lower leverage ratios and it would be a lot riskier. But we also know that there is some risk to being bigger. If you own more of the same things, it’s riskier than owning less of the same thing. We know that as well. We are also sensitive to the views of our shareholders and every meeting I have, I get asked about leverage within the first couple of questions and the views of our regulators, because they’re important to us and I get asked by them all the time as well. So we’re sensitive to that. We want to do the smart things and so over the course of the quarter we did reduce asset size. We went from a little bit under $1.2 trillion to a little bit under $1.1 trillion. There’s no particular category and I gave you some of the sales but you’ll see the balance sheet when it comes out in the Q and I wouldn’t tell you there’s any particular category that you’re going to say aha that’s where the reduction was. It was really across the balance sheet. Given that reduction and given the increase in our equity during the quarter, what you’ll find is that our gross leverage ratio declined from 27.9 times at the end of the first quarter to 24.3 times at the end of the second quarter. And the adjusted leverage ratio declined from 18.6 at the end of the first quarter to 14.7 at the end of the second.
Roger Freeman - Lehman Brothers: If I think back to the last quarter, I thought I recalled you saying you didn’t think you needed to shrink the balance sheet really at all. And I guess is it fair to say that given your comments there that you have an eye towards what the rating agencies and the regulators are looking at and it’s really from that standpoint that that’s maybe driven a bit of that and is there anymore to come? And I realize that there’s limits to the effectiveness of leverage ratios.
David Viniar: We have an eye towards the rating agencies, the regulators and maybe even more importantly our shareholders who care about it as well. And we are sensitive and again we understand that there is some risk to being bigger. So we’re sensitive to that. We’ve been through a pretty tough environment and so being a little bit smaller we thought was a sensible thing.
Roger Freeman - Lehman Brothers: Now as you sold down assets during the quarter and especially given the resi area, did the incremental price discovery in areas that were sort of less liquid, maybe a little more so in the second quarter? That didn’t lead to any additional write downs and particularly I guess I would have thought around alt-A there might have been some additional write downs. You had them last quarter, alt-A deteriorated during March, any thoughts there?
David Viniar: We were and I talked a little bit about this before when I talked about what we sold in the resi area, we were very active in making markets. So we were buying and selling at the same time. We net sold about $4 billion total in resi, most of that in prime on a net basis. But we were very active buyers and sellers. And again I was only giving you the gross long positions which in residential mortgages is not necessarily that meaningful because over the course of the quarter, we changed the positioning around a lot based on long different parts of the capital structure versus short, other parts of the capital structure, long or short in general based both on our views of the world but also based on what our customers are telling us and what we end up with based on a customer trade. And so over the course of the quarter when you look at resi and commercial together, mortgages was a profitable business, not dramatically profitable, but profitable.
Roger Freeman - Lehman Brothers: So you told us what this tier 1 ratio is under the new Basel II framework, what do you think, how useful is that to us? I mean it seems that there’s already some discussion about that the calculations here around risk weighted assets don’t capture liquidity risk, specifically don’t factor illiquidity in. And some of that framework is already being reworked. How much do you think those ratios could come down if you really factored liquidity into the equation?
David Viniar: I happen to think that the ratio is a very useful tool. I think that the Basel II ratio is actually a sensible capital ratio. It’s not perfect. I think there’s no ratio that ever will be perfect. I think it does a pretty good job of taking into account market risk, credit risk, operational risk. There are add-ons for volatility of things. So I actually think it’s a pretty good ratio of risk to assets. I think it’s again not perfect but pretty thoughtful.
Roger Freeman - Lehman Brothers: Are they going to have to be revised from here do you think?
David Viniar: You know, it took a long time to come up with Basel II, I don’t know if it’s going to be revised from here.
Operator: Your next question comes from Jeff Harte – Sandler O’Neill.
Jeff Harte – Sandler O’Neill: You talked a little bit about your deleveraging and we’ve been hearing about it from peers. This is somewhat of a 30,000 foot question, but can you talk a little about deleveraging in the overall marketplace, maybe what you’re seeing from clients. I think more specifically if there’s a lot of deleveraging out there, what does that do to the revenue opportunities for Goldman Sachs if clients and counter-parties away from you are deleveraging?
David Viniar: I think that the world did de-lever over the last several months and there is a lot of cash sitting on the sidelines. And I think of course that was sensible in a way. The world was a riskier place in the last nine months than it was in the time before that. And I think in some ways the amount of leverage that was taken out of the system muted some of the volatility that we otherwise might have seen. Now I don’t think that necessarily means there are fewer opportunities given how much cash is sitting on the sideline, I think that when financial players start to believe that conditions are going to improve, not that they’ve improved but that they’re going to improve, because the markets are forward-looking. I think that there will be a lot of opportunities because there’s so much cash sitting on the sideline. And so I think transaction volumes could be high. It’s just a question of when it happens.
Jeff Harte – Sandler O’Neill: In principal investments, the other line coming in at a $476 million gain. I know that this is a tough thing to ever nail down in a quarter but just looking at overall asset levels, that’s a pretty nice revenue yield on that portfolio. Were there any specific large gains that contributed to that?
David Viniar: That line is going to be lumpy. And we don’t, unless something was sold and publicly announced, we wouldn’t tell you what it was. It was not driven by one or two things, there were a whole series of things within principal investments. And as you know, that business has been a very good business for Goldman Sachs. There will be quarters when it’s not but you look over time, the returns to us on that business have been quite high. The investments we have made over time have been very good. The structure of the business we try and mute the risk as much as we can, although there is risk to it. And so it’s not like there were one or two things, it was really across various parts of the portfolio.
Operator: Your next question comes from Michael Hecht – Banc of America.
Michael Hecht - Banc of America: Just a quick follow up on the exposures you went through on the resi, commercial and LBO side, were those gross or net?
David Viniar: They were all gross.
Michael Hecht - Banc of America: As you guys reduce your total assets and the exposure to some of the troubled maybe illiquid assets in particular, any color on the appetite you’re seeing out there, like who’s buying them?
David Viniar: It varies. In the leveraged loan market where there was probably the most appetite, there was a combination of distressed funds that had been set up to buy but also what we would call the real money players, the traditionally long only money players who are out there buying. I think there’s been a little less appetite in the commercial real estate market, although some. And again it’s a mixture of distressed funds and real money buyers and the resi market was more liquid. There were more sales, more buyers, real money flowed into that market and so a combination of both.
Michael Hecht - Banc of America: Level 3 assets at the end of the quarter, any color you can give us on the drivers, what came in, what went out in terms of transfers?
David Viniar: I got all the way here without anyone asking me about that, I’m surprised. Yes level 3 assets went down, it went down from about $96 billion at the end of the first quarter to $78 billion at the end of the second quarter which brings us from roughly 8% of the balance sheet to roughly 7% of the balance sheet. It was driven, really the biggest areas were a combination of leveraged loans, commercial and residential mortgages. It was kind of half sales and half things moving back from level 3 to level 2 based on the prices that were informed by the sales and by the activities in the market. But there were also some increases, there were some portfolios we bought that went into level 3. As you know, if we could find more distressed portfolios, if there were more sellers, that might increase level 3 assets and we would actually view that as a good thing if we could find them.
Michael Hecht - Banc of America: Then the 30% year over year growth you guys saw in security services was pretty impressive, was that more a function of share gains over growth in the market and where are you seeing the best traction by region, is it US, Europe, Asia?
David Viniar: The answer to the last question is yes. We’re seeing it really across the globe and we have been gaining market share and our balances continue to grow in that business.
Michael Hecht - Banc of America: Then GSPS and equities, I think you mentioned in your remarks was weak this quarter, any more color on what drove that, was it more Goldman Sachs specific or environmental and I guess any color on the impact of the team that I guess you guys moved to GCM earlier this year and is that having some impact on what’s going on at GSPS and how is the performance of the new fund that you guys raised in GCM?
David Viniar: The GSPS really has been weak for the whole first half of the year and I think, I can’t, I don’t know exact comparisons, but I think that whole sector has been week. I think if you look at relative value hedge funds, especially in the equity space which is what they really are, I think it’s been weak. I don’t think it’s been affected at all by the movements to GSIP. The people who, we roughly split the team, the people who went to the hedge fund within our asset management business are great. The people who stayed are great. They have all been very successful over time. It’s been a business that has made a lot of money for Goldman Sachs for many, many, many years and I expect that it will in the future.
Michael Hecht - Banc of America: Asset management flow trends were kind of mixed, I mean very strong in some of the lower margin areas like money funds of fixed income but you continue to see outflows in equities and alternatives. Can you maybe walk us through some of the areas of weakness in equities and then what do you see, is the outflows is performance related and if so how long do you think it may take to turn things around?
David Viniar: I think it really reflected what was going on in the world. I mean there was definitely a flight to quality in the world. I think basically investors wanted to be more invested in less risky assets. And so I think that was not unusual and not unexpected in this environment that we’d see outflows largely from equities and inflows into fixed income and money markets and I think it is really environmentally driven more than performance. Some of the performance in our alternative investments has not been great, some of the others has actually been pretty good and some of the ones that performed poorly last year recovered a lot this year. So I think it’s largely been environmental. And I think that when the flows change it will largely be based on the environment as well.
Michael Hecht - Banc of America: Headcount down 1% quarter over quarter, should we expect any further reductions from here, what’s the outlook? And was there any element of severance running through the numbers this quarter and should we see that as a bigger factor in the second half?
David Viniar: No unusual severance numbers and I don’t think you should expect anything. That will be within our normal comp. Nothing different there and you should expect as we sit here today, unless things change dramatically, that our headcount for the full year, if you exclude our acquisition of Litton, will be up low single digits by the end of the year. So most of that will come on probably next quarter when all the people arrive from the schools.
Michael Hecht - Banc of America: Share repurchase, slowest in a while, can you talk about the appetite for share repurchase here and why the slowdown in the quarter?
David Viniar: You heard me say that our CSE ratio was higher than we would normally run it. Our liquidity which is as strong as it has ever been is higher than we would need it in a more normal environment. And basically in this environment which is a stress difficult environment, again we recognize that. We thought it made more sense to preserve both capital and liquidity. So we slowed down our buybacks dramatically. If the world becomes a safer place then we might accelerate those again.
Operator: Your last question comes from James Mitchell – Buckingham Research.
James Mitchell – Buckingham Research: Two things on FICC in particular, could you talk about, you gave some indication of the sequential declines, can you sort of rank them in terms of what was the biggest decline or what was the least decline? I don’t think you mentioned commodities, just to kind of get a better sense of the trends in the quarter.
David Viniar: That is more detail than we give when we rank declines. But I think we talked a little bit about and when I said in my remarks that the big macro businesses were all still strong, but they were weaker than what was record or near record numbers in the first quarter, but still strong. Mortgages, not particularly great, but a lot better than where they were in the first quarter. And credit products given the loss in leveraged loans were challenged.
James Mitchell – Buckingham Research: How was commodities in the quarter?
David Viniar: Commodities was good but not as good as the first quarter and not the biggest business within FICC which is pretty normal for the business. I mean it’s usually, quarter to quarter, things do change sometimes, but usually rates and credit are two of the biggest businesses.
James Mitchell – Buckingham Research: Was there any material liability losses or resi mortgage write downs in the quarter that we should be cognizant of?
David Viniar: No. I mean if you mean this by liability, the marking of our own debt?
James Mitchell – Buckingham Research: Yes.
David Viniar: We lost about $200 million in the quarter on that based on our spread statement.
James Mitchell – Buckingham Research: And just lastly, can you maybe not specifically speak to fixed income but talk about just the general environment, May versus March. We’ve heard from a number of your peers that May was materially better. Did you see that as well and was it across most businesses?
David Viniar: Without going through month by month or week by week, I don’t think you can tell a lot and it’s pretty obvious that March was a really difficult period in the financial markets. And so the world has certainly improved since March. And I said again on a call before, someone asked me and I said, March was definitely the low point through now. I can’t tell you it’s going to be the low point going forward. But it certainly has been the low point through now.
Operator: There are no further questions.
Dane Holmes: Thank you very much for listening to the call. If you have any questions, please feel free to contact me at investor relations. And once again, thanks for your attendance.